Kari Lindtvedt: Good morning. Welcome to the presentation of Orkla's Fourth Quarter Results. My name is Kari Lindtvedt, I'm Head of Investor Relations. The presenters today will be President and CEO, Nils Selte, who'll summarize the quarter and the year we just left behind us. He will be followed by CFO, Harald Ullevoldsæter, who will take you through the details of the financials for the quarter. And then before we move on to Q&A, Nils will sum up our main messages from today. During the presentation today, you're welcome to post questions on the web and we will address them together with any questions from the audience here in Oslo at the very end of the session. Thank you. I'll leave the floor to you, Nils.
Nils Selte: Thank you, Kari, and good morning to all of you. 2022 has been a year of unforeseen macroeconomic and geopolitical developments that have impacted Orkla. We have seen disrupted supply chains, followed by a rapid increase in cost of raw materials, transportation and other input factors. I'm impressed by the dedication in our organization and our ability to maintain high service levels during this period. Let me give you a few comments on our performance for the year. We report EBIT adjusted growth of 21% for the Group positively affected by the Hydro Power. Organic growth for Branded Consumer Goods was 10%, but the result was negatively impacted by the direct and indirect effects of cost inflation. Our EBIT adjusted declined to 7.5% for the year for Branded Consumer Goods, including headquarters. Adjusted earnings per share was NOK5.46 for the year, an increase of 6%. The Board intends to propose a dividend of NOK3 per share. If we take a look at the detail for fourth quarter, we see the topline growth of 10% and that was driven by price and the volume mix performance was in line with levels in Q3 at approximately minus 3%. We see positive developments in Orkla Food Ingredients, Orkla India and our Hydro Power business, and exceptional performance in Jotun. And let me give you a few more details of Jotun. We see topline growth of 19% and an impressive 66% EBITDA increase in Q4, driven by solid volume increase and good cost control. I see continued strong momentum going into this year in Jotun. Group EBIT for the quarter is up 2% while EBIT adjusted for Branded Consumer Goods decreased by 14%. The decline is mainly driven by broad-based cost increases, but at least NOK100 million of the profit decline compared to Q4 last year is due to one-offs and periodic effects, so underlying performance, in my view, is more or less in line with Q3. I'm not satisfied with the financial performance and figures that we delivered in the quarter. In Q3 - in the Q3 presentation, you heard me talk about the necessity of implementing cost measures. Based on the performance presented here today, I can assure that this is being addressed even stronger going forward. Since Q3, we have carried out a bottom-up review of our cost base, and identify cost avoidance, and cost savings initiatives of at least NOK1 billion for 2023. This is a 40% increase from previous plans. On an overall level, our market share are holding up, but we see increased competition from private label. We have increased and will continue to increase our investments in A&P, we need to invest behind our brands and position for a long run. Let me provide you with a short update on our ongoing process of transforming Orkla into a investment company with a brand and consumer scope. The ambition is to increase value creation by reducing complexity, creating more accountability, and have more flexibility when it comes to capital allocation. The Group Executive Board was operational from mid-December and we have completed the HR process according to plan. Our focus now is to establish the legal and operational structures at the portfolio company level. We are in the process of recruiting Board members to our companies. But let me add to this that we will only use external representatives if this add competence and value to the relevant company. Regarding our portfolio, I believe that some years down the road, we will have fewer investments and that they will be more similar in size than the current portfolio. I have got questions on the implication on the cost for Orkla in the new model. I can assure you, this will not be a cost - there will not be a cost increase as a consequence of the new operating model. We are also these days initiating the strategic planning for our portfolio companies. This will be finalized before the summer, and I'm happy to announce that we will present the strategies and ambitions at our Capital Markets Day, that will be held at 29th of November of this year. More details on time and place will be announced at a later stage. We will start our financial reporting according to the new structure from second quarter this year. A few weeks before that, we will provide the market with more background information and historical financial for each portfolio company. I will now leave the floor to Harald to go through the financials in more details.
Harald Ullevoldsæter: Thank you, Nils, and good morning, everyone. Let's have a look at our financial performance for quarter four and for the full year. As Nils said, there are no changes in the reporting structure from the previous quarters. So let's kick-off by looking at the Group figures for quarter four. Reported revenue growth for Orkla Branded Consumer Goods was 12.7% in the quarter. Earnings for branded consumer goods, including headquarter decreased by 13.8% in the same period. Let me revert to this later. Improvement for Industrial & Financial Investments was mainly driven by 35% higher electricity prices on flat volumes for Hydro Powers. And this resulted in EBIT adjusted for Hydro Power of NOK631 million, which is down from quarter three but still a strong quarter in a historical context. The proposed changes in the Norwegian Hydro Power Tax Legislation were approved by the Norwegian parliament and the tax changes are fully reflected in the quarter, including NOK49 million in windfall tax, part of Hydro Power's operating expenses. We had net other income of - and expenses of minus NOK201 million in the quarter. The largest element was M&A costs, mainly driven by the acquisition of the Denali Ingredients in the U.S. The rest is related to restructuring projects, factory projects and reorganization of Glasgow. Profit from associates was NOK147 million, mainly related to strong comeback in Jotun. Net financial items were higher than last year, mainly due to higher interest costs, but also higher debt level, and tax expenses were slightly lower in the quarter compared to last year. This was due to lower results and periodic effects but was upset by higher Hydro Power Tax. The change in Hydro Power Tax Legislation increased taxes by NOK180 million in 2022. And adjusted earnings per share ended 6% down in the quarter and up 6% for the full year. Let's then have a look at the cash flow for 2022. Cash flow from operation was NOK3.8 billion in 2022. The cash flow operation in Branded Consumer Goods was significantly lower than in 2021. Higher net working capital was mainly explained by higher stock values and receivables due to significantly higher prices. Current capital was also negatively affected by increased inventory levels due to supply chain issues and contingency stocks. We will have a high focus on current capital going forward, and our ambition is to reduce the current capital to a more normalized level. The largest project in the net replacement investments was the construction of the new biscuit factory in Latvia. Replacement investments also includes other factory projects in addition to ERP projects. Let me walk you through the net interest bearing debt bridge from 2022. Net debt including leases increased by NOK4.4 billion to NOK17.2 billion from year-end 2021 to year-end 2022. Cash taxes and financial items in 2022 totaled NOK1.5 billion. And let me remind you, the cash effect from the taxes for the Hydro Power business in 2022 is not due until the beginning of 2023. The main cash outlay during the year was the dividend of NOK3 per share, paid in the beginning of May. This total about NOK3 billion. Net M&A and expansion was NOK3.4 billion in 2022 and was mainly related to the acquisition of Healthspan Group and the Denali Ingredients. Additionally, we had kept expansion CapEx of NOK447 million in 2022, compared to NOK486 million in 2021. Negative currency effects, as a result of a weaker NOK increased net debt by NOK377 million. So Orkla has a strong financial position, and our net debt at the end of quarter four corresponds to approximately 1.8 times EBITDA, based on the last 12 months when acquired businesses are included in EBITDA. Since year-end, Orkla has completed the acquisition of Bubs Godis in Sweden, and including this acquisition and the previously mentioned cash tax effect on Hydro Power profits, the net debt figure will be approximately 1.9 times EBITDA. Now let's have a closer look at the performance in Branded Consumer Goods. And let's start with the top-line performance. Reported revenue growth from our Branded Consumer Goods business in the quarter was 12.7% as we already mentioned, and organic growth makes up 9.5% of the increase, partly supported by positive currency translation effects of 2.0% and structural changes have a net positive impact of 1.2%. Looking at 2022 numbers, the organic growth for our Branded Consumer Goods was 9.6%. Let's then have a look at how the growth is distributed per business areas. All business areas had organic growth in quarter four and on a full year basis. The 9.5% organic growth was driven by price increases, and offset by volume mix decline of approximately 3% in line with the third quarter. The volume decline was broad-based across markets and categories. We still see a risk of negative volume effects going forward. This is driven by several effects such as customer reactions, consumer sentiment and market contraction in grocery following COVID. High overall economic inflation is reducing the purchasing power of consumers in most markets Orkla is present. Orkla is experiencing increased competition from private label in certain categories. This is particularly the case in home care and health in Norway. We also see hard discount stores gaining shares primarily in Denmark and in the Czech Republic, which has a negative effect for Orkla due to lower market shares in hard discounts. Before moving to profit performance, let's have a look at our prioritized growth areas. Our three prioritized growth areas are consumer health, our European pizza franchise platform and plant-based, all areas experienced progress in the quarter. Consumer health grew sales by 25% in 2022 on a reported basis. This was mainly driven by structural growth from acquired businesses through NutraQ, Vesteralen Marine Olje and Healthspan Group. Organic growth for consumer health was 3.8%. Orkla has become a major challenger in the European pizza market through several transactions since 2018. And the latest acquisition of Da Grasso in Poland was completed in December and will be consolidated from the January 1. Including Da Grasso, Orkla's network will consist of approximately 870 franchise outlets in Finland, Benelux, Germany and Poland. The portfolio consists of the leading brands like Kotipizza, New York Pizza and Da Grasso. The underlying growth in consumer sales for our existing pizza business was 7.1% in 2022. Both Kotipizza and New York Pizza showed positive growth traits in consumer sales. Reported growth for plant-based was 18% in 2022, and organic growth was 21%, while organic growth for Orkla's branded products amounted to 5% for the full year. As I said earlier, we are committed to the plant-based category and see attractive long-term underlying fundamentals for both the category and Orkla's market position, even with more short-term uncertainties. Let's move on to earnings performance in Branded Consumer Goods. EBIT for Branded Consumer Goods, including headquarter decreased by 13.8% in the quarter, reflecting a 15.3% underlying decline, 2.1% positive ForEx effect and structural growth from acquired companies of minus 0.7%. The underlying decline in the fourth quarter was mainly caused by volume decline, high cost inflation in all business areas and year-end adjustments. Non-input costs like SG&A and factory overhead have continued to increase. Price increases have been implemented as planned during 2022 and have largely compensated NOK by NOK for increases in costs. Additionally, we saw higher than normal cost effects associated with year-end adjustments and other one-off related items. In quarter four '21, we were positively affected while we, in quarter four '22, were negatively affected. We estimate this to sum up to at least NOK100 million and explain approximately half of the underlying EBIT decline in quarter four. Examples of year-end adjustments are phasing of customer discounts, scrapping of inventories, and write-down of assets. To mitigate the adverse cost performance, we have initiated several cost-outs and cost avoidance initiatives. The target for 2023 has been increased by 40% to NOK1 billion. On the right hand side, you can see the underlying EBIT margin decreased by 1.9% on a rolling 12 months basis. Let me elaborate a bit more on the cost situation before moving on to the business areas. The external shocks that simultaneous hit European commodity markets in 2022 were exceptional. Agricultural markets are still impacted by the geopolitical situation and the aftermath of this summer's drought. At the same time, the energy prices were higher in quarter four than for the corresponding period of 2021. This affects our production costs for Branded Consumer Goods negatively, and we are seeing second wave effects of energy as a significant input for refining of several commodities like sugar and glass for packaging. This goes even deeper as energy as an input factor for fertilizers that impact crops and prices for the agricultural products. And in an even wider context, energy has hit us our sector hard. Our customers being retailers, restaurants and convenience stores are substantially affected by higher energy costs for heating and food storage. At the same time, consumers and end users are seeing a significant reduction in their purchasing power. Despite the fact that some commodity markets indexes flattened out and even showed a slight decline in the last part of 2022, Orkla's cost development has not undergone the same path. First of all, Orkla has a different exposure than, for example, the Global FAO Index limited to its five sub-categories, Orkla's exposure to a wide range of categories and both the EU prices, local prices and world market prices. Secondly, we will have a time lag due to the contract structure. The cost of Orkla's raw material and traded goods and packaging increased by approximately 17% in 2022. This cost decrease is, however, lower than the increase in market prices for Orkla's input categories. This is due to the contract structure where we historically have sourced on contracts with six to 12 months duration. At year-end 2022, we have a shorter contract structures so that the average duration is typically three to nine months. As I tried to highlight on the right-hand side, there is no common price pattern or contract duration for our sourced inputs. Some categories will likely be associated with high cost in 2023 due to favorable contracts in 2022, while other categories should experience a lower cost than in 2022 if current market conditions persist. The net overall expectation very much relies on the factors on the left, combined with macroeconomic assumption for 2023. So to sum up, we will have increased input costs for the first half of 2023, but this is as expected and taken into account in our pricing. For the second half of 2023, we are exposed to the development in market prices. Let's then have a look at Orkla Foods Europe. Orkla Foods Europe reported a revenue increase of 7.5% in the fourth quarter, of which 7.2% was organic growth. Sales growth was broad-based across markets primarily driven by price. The grocery channel saw volume decline across markets. The volume decline in grocery should be seen in connection with reduced purchasing power and higher consumer prices, driven by price increases for raw material and energy. Food service and convenience continued the positive trend from the first nine months of 2022. Market shares were relatively stable in the Nordics, while there was a negative development in the Czech Republic, among others. EBIT declined by 13.6%, largely driven by higher input costs and other cost elements in addition to the volume decline. Moving on to Orkla India. Orkla India had sales growth of 18.5% in the quarter, of which organic growth was 11.2%. The progress was broad-based across categories and most markets. Sales to grocery was strong in addition to which the export market has recovered from the pandemic as Indian expats have returned to work abroad. Part of the growth in 2022 is related to normalization. Both the masalas and pure spices categories showed stable growth with double-digit growth in quarter four. Cost increases across some important input factors continued in the fourth quarter. Earnings growth was partly offset by increased investment in A&P to strengthen their brands long term. The EBIT margin in the quarter was 11%, down 0.8 percentage points from the corresponding period last year. Moving on to Confectionery & Snacks. Orkla Confectionery & Snacks had organic growth of 5.6% in the quarter. The growth was driven by price increases, while volume growth was negative. The negative volume trend in Norway due to market normalization, improved somewhat in quarter four compared to previous quarter, while still negative. Volumes outside Norway were also negative. In sum, market shares in grocery in the Nordics were on the same level as in the corresponding period in 2021. EBIT decreased by 12.4% in the fourth quarter compared with last year. Price increases compensated for higher input costs while having a negative effect on margin. In addition, the product mix had a negative impact on margin. The new biscuit factory in Latvia became operational in 2022. Correspondingly, a factory in Sweden has been closed. Orkla Real Estate has started the process of developing the property outside Gothenburg into residential use. Dialogue with local authorities is ongoing. A transition period had led to approximately NOK20 million in ramp-up costs for the new biscuit factory in quarter four. Ramp-up costs will also occur in the first half of 2023 and are estimated to be NOK40 million. This will then be followed by cost improvements. Let's have a look at the performance in Orkla Care. Orkla Care reported topline growth of 11.4%, of which 4% was organic. Grocery volumes in Norway declined. Orkla Wound Care had flat sales performance in the quarter against a strong quarter last year. Our online retail business, HSNG showed strong sales growth in quarter, driven by business to business. The market shares performance in grocery for Home and Personal Care in Norway and Health Norway was negative in the quarter. Earnings declined by 34% in the quarter, driven by both higher input costs and other costs. High transportation costs and ERP implementation impacted negatively in the quarter. The margin contracted 4.3% year-over-year. Let's then turn to Orkla Food Ingredients. Orkla Food Ingredients delivered another quarter with strong organic growth. In quarter four, the organic growth was 18.5%, driven by price increases. The growth was broad-based across categories and markets. There was particularly good growth for margarine products due to the solid price and demand. We anticipate that some of the margarine demand is of more temporary in nature. The Bakery segment saw still good price-driven growth while volumes were negatively affected by lower sales to artisan bakeries across geographies. The EBIT improvement was 26.9%, driven by price but offset by higher cost of raw materials, transportation and energy. High inflation across Europe is expected to reduce purchasing power, which increases uncertainty about volumes. Let's have a look at the performance then in Consumer Investments. Orkla Consumer Investments reported a sales increase of 12%, where organic growth was 9.3%. There was still good growth in consumer sales for the pizza business. The sales decline in House Care was less steep than in earlier periods. And profitability was negatively impacted by general cost inflation and write-down in the quarter. The write-downs were mainly related to an R&D project. Finally, let's have a look at our associate, Jotun and then Hydro Power. The strong sales growth continued in the fourth quarter. Reported sales growth was 19%, and the underlying sales growth was 17%. The sales performance was driven by solid volume growth and higher prices. Sales growth was particularly strong in Marine Coating, while all segments contributed positively. Operating profit increased by 66% in the fourth quarter. There was a slight improvement in gross margin during the fourth quarter. Jotun enters the year with good sales momentum and expectations of continued growth in 2023. Fourth quarter volumes in Hydro Power was flat compared to a year ago and on par with 10-year average production in the quarter. Prices were 35% higher than the level last year and Orkla's Real Estate business contributed NOK20 million to financial investments EBIT for the fourth quarter due to handover of a construction stage in a property project in Oslo. And with that, I give the floor back to you, Nils, for closing remarks.
Nils Selte: Thank you, Harald. As I said, I'm not happy with our financial performance last quarter, but we see some variation within our portfolio and some positives, like Jotun, Hydro Power, Orkla Food Ingredients and Orkla India. As we have said, we expect also 2023 to be a challenging year with continued high input prices, including energy, impacting the buying power of the consumers. We need to continue to stay on top of this and adjust our operations accordingly. And our priorities going forward are ensure delivery in all markets of our brands and products and fourth, cost control. We have not seen the last of necessary cost outs. And last maintain our long-term target with continued investments in our brands and future growth. We cannot lose sight of our long-term goals even though the present situation is complicated. Lastly, let me repeat that the date of our upcoming Capital Market Day has been set to 29th of November this year, so please save the date. Thank you for listening, and let's open for the Q&A.
A - Kari Lindtvedt: Thank you, Nils. We have a couple of questions on the web. But first let me ask if there are any questions from the audience here in Oslo today. Please raise your hand if you have any questions. Right. Then we'll start with questions from the audience. [Hochum Fuglue], SEB. Sai you saw volume decline of 3% within BCG in Q3. What was volume decline in Q4 and can you elaborate on how you view comps versus private label for the coming quarters?
Harald Ullevoldsæter: As I said, the volume decline in quarter four was approximately the same as in quarter three, 3%. And as Nils said, we see increased competition from private label, especially in some segments and we have lost some market shares, as I said, in Orkla Home & Personal Care, especially from the care - home care portfolio and also from the health portfolio, some market shares to private label. So of course, we are, as always, worrying about the uncertainties to the volume going forward.
Kari Lindtvedt: Okay. And then a question from [Kinue Tanjal], Nielsen. We hear about consumers trading down and increasing private label penetration. Which key categories in Orkla are hurt the most? Is it care? And is increased brand support your initiative? Private label penetration in Norway is low versus European countries. How do you see private label evolve the next two to three years?
Harald Ullevoldsæter: The answer to the first part of the question is kind of easy. Yes, it's care, that is most hurt in the quarter. And I guess, we - our view is that private label is the most important competitors we have across markets. And of course, with this environment with strong pressure on the consumer, the private label as a competitor will be even more important. But it's very uncertain to give any estimate of how this will develop. It depends on how good we are also in performing and protect our brands. And we will have to invest further into our brands, as Nils said.
Nils Selte: And innovate.
Kari Lindtvedt: Great. And then we have a question from [indiscernible], Carnegie. The NOK1 billion savings plan. Could you give some color on how much of this will trickle down on EBIT, and also some color of the phasing of the savings?
Harald Ullevoldsæter: Okay. This is a combination of, as we said, cost avoidance and cost out. And both are equally important to do. So we are internally, we are focusing on doing the actual actions to give the total savings of NOK1 billion. Of course, we will try to get as much as possible down to the bottom line but it's really not possible to give a good estimate to what kind of number that is. But it is a combination of cost avoidance and cost out.
Kari Lindtvedt: Thank you. And then a second question from [indiscernible]. Based on what you know today on price increases executed so far this year and prices on raw materials that you have already settled, is there a risk that 2023 will be another year where Branded Consumer Goods margins will decline year-over-year? Or are we around true today - trough today?
Harald Ullevoldsæter: Yes. That's a tough question. But we are on plan in implementing the necessary price increases. As we have said previously, because of the magnitude, the huge cost inflation we have, we have said that priority number one is to compensate this cost amount NOK by NOK. And our priority number two is to regain our previous margin levels. And that will take some more time, but we are well ahead on compensating NOK by NOK. I don't think I will go into any guidance when the margin will turn positive.
Kari Lindtvedt: Okay. Thank you. Then we have four questions from [indiscernible]. I'll take them one at a time. Question one, can you please break out the mix in organic and ingrowth growth between volume and price? I think we already did so, minus 3% on volume and then organic growth of 9.5%. How do you see your market share development in Q4 and 2022? Which areas are most affected by private label competition?
Harald Ullevoldsæter: I think we have answered that question as well.
Kari Lindtvedt: Overall fairly flat market share development.
Harald Ullevoldsæter: As Nils said, we're holding up, but we are losing some market shares, and we are improving some market share as well. We have to mention that as well. Orkla Foods Norway has increased its market shares. That's a huge business for us.
Kari Lindtvedt: Okay. And then the third question, I think we answered that as well. Assuming the current raw material prices, when should we expect recovery in BCG margin?
Harald Ullevoldsæter: Yes. I think we have been to that question already.
Kari Lindtvedt: Yes. Can you add some color on the NOK1 billion cost-cutting target? Where do the savings come from?
Harald Ullevoldsæter: It's a combination of savings from purchasing area, material savings. It's cost out in the whole value chain, especially in the overhead part of it. We have some big organizational savings program, but this has not been communicated yet internally. So we cannot go into more detail, but it's across the total value chain.
Kari Lindtvedt: Yes. Thank you. Then a question or a couple of questions actually from Patrick Folan, Barclays. First, the split of price versus volume for Orkla Foods Europe in Q4, an approximate split?
Harald Ullevoldsæter: We haven't given that split yet. We will - going forward, I guess we'll try to split that as well. But we can say that Orkla Foods Europe has a bit higher volume decline than on the average.
Kari Lindtvedt: Yes. Thank you. And then secondly, I believe Orkla had a recent pricing window in February. How has the development gone? And will the pricing we see over the coming months offset cost inflation we will see in the coming quarter?
Harald Ullevoldsæter: We have lots of different timing regarding price increases. But in Norway, it's the 1st of February, and that's an important part of our business. And as I said, we have implemented and we are as planned, both last year and also into this year. And given the current level of the raw materials and packaging costs and energy costs, we are covering NOK by NOK.
Kari Lindtvedt: Thank you. And then the final question from Patrick. Are you seeing increased promotional activity in certain categories or promotional activity in categories where there was no price increase taken?
Harald Ullevoldsæter: I guess we see some more from - that's the normal thing that's happened in this kind of market. But I don't have any details on that.
Kari Lindtvedt: No. Fair enough. Then we have three questions from Petter Nystrøm, ABG Sundal Collier. First one is the NOK1 billion in extra - NOK100 million in extraordinary costs evenly distributed between the brands segments or business areas?
Harald Ullevoldsæter: Yes. But let me first elaborate a bit on that part. The - at least NOK100 million is related to the change between the quarter four '21, which was positively affected and then we have quarter four '22 is negatively affected. So the delta is at least NOK100 million, and it consists of both phasing effects during these two years, but also one-off effects. So we said also that approximately half of this NOK100 million, we will see positive effects going into 2023 in quarter four. I guess the most important business area that will have a positive effect is Orkla Foods, Orkla Care and Consumer Investments.
Kari Lindtvedt: Thank you. And then the second question, will you face extraordinary cost for brands also in Q1? And what about Q2 and onwards?
Harald Ullevoldsæter: I'm not sure if I got the question, extraordinary costs?
Kari Lindtvedt: Yes, if we have any other extraordinary cost items that we know about for Q1 or Q2? You mentioned the ramp-up costs in Confectionery & Snacks?
Harald Ullevoldsæter: Yes. If we had we will have communicated.
Kari Lindtvedt: Yes.
Harald Ullevoldsæter: Yes. I said the ramp-up costs in the new biscuit factory will affect negatively by NOK40 million over the next two quarters, but we will also have some positive cost effects for the remaining part of the year.
Kari Lindtvedt: Thank you. And the final question from Petter. What is the key challenge for care in Norway?
Harald Ullevoldsæter: That's a good question. I guess, just to elaborate a bit on the main impact this quarter, I think it's related to - we have been too slow to take out the necessary price increases. So we are lagging a bit on the price. There are market normalizations in both Health and Home & Personal Care due to a very positive COVID effect last year. And the third one, that's more perhaps the important one that we are losing some market shares. So we have to step up our performance in protecting our brands and building stronger brands. But it's difficult to go detail into that kind of work. I'm not sure if you have anything to add?
Nils Selte: No, I think you covered it quite perfect.
Kari Lindtvedt: Good. Then we have a couple of questions from Kate Rusanova, UBS. Firstly, a question on the 2023 outlook, please. Is your ambition to still increase profit for Branded Consumer Goods in 2023?
Harald Ullevoldsæter: It's always the - of course, but we will do not any guiding.
Kari Lindtvedt: What level of pricing would you need in the first half of '23 to offset the incremental inflationary pressure? Do you need to take incremental pricing compared to the level set in Q4?
Harald Ullevoldsæter: As I said, we have implemented some big price increases from the 1st of February in Norway. I mean, we are going to increase the prices in Sweden and in the Czech during this quarter. And if they are necessary to increase prices further for the rest of the year, we don't know, but we will follow it very closely.
Kari Lindtvedt: Thank you. And then two more questions from Kate. First one, is there a possibility that pricing could become negative towards the back half of the year as we see normalization in cost headwinds along with increased competitive pressure from private label?
Harald Ullevoldsæter: So, the question is whether we are going to reduce our prices?
Kari Lindtvedt: I think that's the question, yes.
Harald Ullevoldsæter: I don't see it as a very likely scenario.
Kari Lindtvedt: Historically, we haven't seen...
Harald Ullevoldsæter: No, we have not. Of course, we will try to maximize our process and regain our margin. That's for sure.
Kari Lindtvedt: Okay. And then a final question from Kate. 3.8% organic growth in consumer health seems to be somewhat modest, considering incremental pricing actions. What were the key areas of volume weakness for the business? And was it mainly due to the tough basis comparison?
Harald Ullevoldsæter: I think the last part of the question is the main answer. Yes, the comparable, especially for house care, we had strong comparables last year due to COVID is the main explanation.
Kari Lindtvedt: Thank you.
Harald Ullevoldsæter: And also some quite tough and difficult markets in the UK as well on top of that in house care.
Kari Lindtvedt: Yes. Did you have anything to add?
Nils Selte: Was the question on House Care or on the Health?
Kari Lindtvedt: On Health, mainly, yes.
Nils Selte: Okay.
Harald Ullevoldsæter: Then I need the question once again, Kari, Home Health?
Kari Lindtvedt: Let's see. Consumer health seemed to be somewhat modest considering incremental pricing. What were the key areas of volume of weakness?
Harald Ullevoldsæter: Yes. Same answer, I guess, comparables is the main issue and also some loss of market shares, as I said, especially in Norway.
Kari Lindtvedt: Thank you. And then we have three questions from Bruno Monteyne in Bernstein. With the new financial information from your subsidiaries, are you able to give us more visibility about when margins should bottom out?
Harald Ullevoldsæter: We will not comment more on the margin side, but we will give more information to the market about our portfolio companies going into quarter two and quarter three and four for this year. So we will have some more financial details whether we will start guiding on the margin, I don't think so.
Kari Lindtvedt: No. And then second question from Bruno. Volumes are declining and further price increases are likely to increase the rate of volume decline. Is there a chance that the operational delevering in 2023 from lower volumes will be bigger than the extra cost savings that you are targeting?
Harald Ullevoldsæter: That's always a risk. It's very difficult to be very precise on that.
Nils Selte: And therefore, we continue to invest in A&P, et cetera, and innovation to going forward to kind of protect us from that effect.
Kari Lindtvedt: Thank you. Third question from Bruno. Is there a structural reason why Orkla finds it harder to guide towards near-term margins than other consumer goods companies?
Harald Ullevoldsæter: I don't think we - I think we have to look at our operating model as well because we are operating some very individual companies and don't have this centralized steering of these companies and these activities. These decisions are made in very many companies during the year.
Kari Lindtvedt: Okay. Another question from Patrick Folan, Barclays. On the pizza business, has consumer behavior remain consistent since Q3 or with the current macroenvironment getting worse, have consumers moved away from the out-of-home pizza channel in Europe?
Harald Ullevoldsæter: No, I think the - if you look at the consumer sales growth during the year, they has been pretty stable over the last four quarters and ended at 7.1% for the 2022 as a whole. So it has been stable. I think we have to bear in mind that price for these products are not that expensive. You might also have some positive trading down to these pizza categories.
Kari Lindtvedt: Two more questions from Ole Martin, DNB. Can you comment on the outlook for M&A? Do you see potential to crystallize value? Any interesting acquisition opportunities?
Nils Selte: We don't comment on M&A as a rule. So I will not provide any more details on that.
Kari Lindtvedt: Okay. And then second question from Ole Martin. Can you comment - sorry, that's the same question actually. Then we have a question from Oyvind Mossige, SpareBank 1 Markets. You currently have about 10% of the Norwegian shopping basket. I guess, in grocery he is referring to. Does that put an extra limit on what price increases you can pass over? Some other suppliers have better margin development than you do.
Harald Ullevoldsæter: I think you take the prices we find necessary and we are not having a problem because you are too big in the Norwegian market. That's my view. I'm not sure.
Nils Selte: We have international competitors. We have local competitors. We have private label, as Harald has talked about. So I guess there's definitely some competition out there that limits our kind of ability to take out prices. But we need to work hard. And as I said, we need to support our brands with A&P and innovation to continue to kind of - and to use that as a tool to kind of recover margin over time.
Kari Lindtvedt: Yes. Thank you. That seems to be, for now, the final question on the web. Can I ask the audience again here in Oslo, if there are any questions, please raise your hands. Please state your name and company before posting the questions.
Unidentified Analyst: [Foreign Language]
Kari Lindtvedt: Just for the English speaking audience.
Unidentified Analyst: [Foreign Language]
Nils Selte: Okay. No problem.
Kari Lindtvedt: But I'll - it was a question regarding the property development in Sweden that Harald mentioned, timing.
Nils Selte: But I think there is a certain kind of value creation to be made by actually doing the kind of zoning process of a property like that. So I think first of all, we need to kind of get the zoning right according to our plans, that's work in progress. Those processes take normally a lot of time. We will continue that process, and then we will have kind of maybe consider what to do if we should sell the property or if we want to develop it ourselves together with partners, et cetera. So we will revert to that when the zoning process is kind of concluded.
Unidentified Analyst: [Foreign Language]
Nils Selte: This property is owned by...
Unidentified Analyst: [Foreign Language]
Nils Selte: The last property that were located in was not our property. So that's not similar process.
Kari Lindtvedt: Thank you. Any other questions in the audience. Please.
Unidentified Analyst: [indiscernible] I'm also a shareholder. I have a question when it - I have two questions. One, how do you view the position going forward with non - with processed food as a trend? How do you actually - because most of what you do today is process food. So how do you actually intend to meet that kind of trend?
Nils Selte: I think we need to work hard on kind of how the recipes are developed. We need to innovate, and we need to kind of reduce the kind of danger part of the recipes going forward. And I don't have any kind of more precise answer to you on that. We have a lot of good people internally that work on the R&D processes. So also, this is work in progress all the time and we always try to make our products more healthy to the customers, that will continue going forward. So I guess that's what I can say about your question.
Unidentified Analyst: A large part of your production today is processed food.
Harald Ullevoldsæter: I don't have the numbers. I don't - I have to do some research to find the numbers, I guess.
Unidentified Analyst: And then my last question is regarding - you didn't want to comment, Nils, when it comes to future acquisitions. And I understand that. But given your financial situation and the debt - you've increased your debt quite a lot during 2022, wouldn't it be maybe more favorable to actually focus on the companies you have today before you actually turn on to further acquisitions?
Nils Selte: It's a fair question or a fair kind of comment to put it that way. I think we have still some capacity. We will always look at - if we see some kind of candidates that will - that we think will bring value to the portfolio company or Orkla as a whole, we will explore the opportunity. I guess that's my comment to that. Of course, there is a kind of a limitation to what we can do in the current situation. But - so that's my comment to that.
Unidentified Analyst: Just wouldn't the threshold for actually acquiring a new company be a bit higher now than maybe it's been previously?
Nils Selte: I commented on that earlier on as well. I think I already kind of lifted the threshold to do M&As in my kind of period, and that will continue as before.
Kari Lindtvedt: Good. Any other questions? It seems not to be and no more questions on the web. Thank you for joining us today. We will be back with the Q1 results on the 9th of May. And also, please remember to save the date for our Capital Markets Day on the 29th of November this year. Thank you for joining.